Nathan Ryan: Good morning and welcome to the Perseus Mining Investor Webinar and Conference Call. [Operator Instructions] I'll now hand over to Perseus Mining Managing Director and CEO, Jeff Quartermaine. Thank you, Jeff.
Jeff Quartermaine: Thanks very much, Nathan, and welcome to Perseus Mining's webinar to discuss our March '25 quarter report. I'm joined on the call today by two of my colleagues. Our CFO, Lee-Anne de Bruin, needs no introduction. She has been an integral part of our leadership team for quite some time and has frequently participated in these webinars. We are also joined today by Jacob Ricciardone. Jacob joined Perseus earlier this year in the role of Chief Development Officer with specific responsibility for exploration tech services and development. And Jacob will be available to respond to any detailed questions that you may have on either our organic growth projects, or similar matters later in the webinar. So welcome, Lee-Anne and Jacob. Now the agenda for today's webinar is the same as usual. I’ll start by providing an overview of what Perseus has achieved operationally during the quarter, and then we’ll hold a Q&A session to dive into any specific matters that have not been addressed either during the presentation or indeed in the market releases that we have made to the market either on the quarterly or the release we put out last Monday that spoke to the decision to move forward with the Nyanzaga development. For those of you who are participating in this webinar via your computer, you should be able to track the presentation visually on your screen to get into that point. Now in summary, it seems that every quarter we report almost the same thing, namely that our team at Perseus has once again delivered very strong gold production results, competitive all-in-site costs, and with the help of the rising gold prices, expanded cash margins, and increased free cash flow and cash balances. Now in terms of the Australian gold sector at least and possibly globally, our performance in closing cash balance, which I might say stands at US$801 million or for our Australian business, AUS$1.25 billion. It’s better than most in the gold sector based on the reports that we've seen from our peers so far this month. Now this does beg the question of why our consistently strong operating performance doesn't translate very accurately into relative share price performance. This is an issue that's challenged us for some time, and several theories have been put forward about why we traded a discount to our peers. And these include the African discount, so to speak, and the quality of Perseus assets and portfolio, particularly the remaining lives of our assets. Now I won't dwell on these observations too much as, in my opinion, both of them are fairly fundamentally flawed. But rather than complain about the misunderstanding. What we have done this quarter is taken some very decisive action to address both the issue of asset quality and African risk. The two major growth initiatives, both fully funded from existing cash reserves, I might say, have been materially advanced during the quarter or since our last webinar, and they include the CMA Underground development at our existing Yaouré Gold Mine in Côte d’Ivoire, and, of course, the commencement of the development of the Nyanzaga project in Tanzania. Now both of these initiatives will be a subject of more focused discussion in the presentation that follows, as both of these projects will materially upgrade our existing production base that has, I repeat, already been generating outstanding operating results consistently for the last 5 or 6 years. Now, hopefully, the quality of these new two new additions will gain some recognition. And, of course, if they don't, the new operations will certainly help us to continue the long stream of outstanding results generated by the company. So in summary, things are rolling along very nicely at Perseus, and let’s go to the presentation so that I can demonstrate what I’m talking about. So if we look at the operating and financial results in summary that we've published today. So for the quarter, production 121,605 ounces, down slightly from the prior quarter, which was in fact an outstanding quarter. The all-in-site cost across the Group is $1,209 an ounce, up slightly for two reasons. One is that the production is down slightly, but also because of the increase in royalty payments due to the higher gold prices that we’ve been receiving. The gold prices averaged $2,462 an ounce, giving us a margin of US$1,253 an ounce. Now on -- in terms of the margin, I did read in the papers earlier this week, a very prominent United Kingdom investor complaining that the gold sector hadn’t taken the opportunity to generate margins. Well, I would point out that our cash margin is in excess of a 100%, and that's generated something like a $152 million of notional cash flow for the quarter, resulting in a cash and bullion balance at the end of the quarter of US$801 million. Now I point out that that US$801 million does include 34,208 ounces that of gold that were valued at the spot price on the March 31, which is $3,115. So down from where it is today, in fact. But, nevertheless that's how that number has been arrived. I should say also it does not include any debt. We don’t have any debt even though we do have an undrawn line of credit of US$300 million. Now if you look at that in context with what we've done in the past, as I said, the December was up slightly, but in the last four quarters, there’s been a fairly remarkable consistency in our performance. And during that time, we've seen the gold price rise, and we've seen the cost kept reasonably steady. All three operations are running reasonably well, although I have to say, not without the challenges as I'll mention in just a moment. But certainly in this rising gold price environment, it is giving us the opportunity to significantly generate or expand our margins and cash, et cetera, et cetera. Now looking forward, we are now 1-month pretty much through the 3 months of the quarter. Happy to say that we are operating bang on targets at the moment and we will continue to deliver certainly good results into the future if indeed nothing untoward happens in the next couple of months. Now in terms of what is -- what we are predicting, this chart that you can see shows the guidance that we have given to the market. Now we are obviously very well positioned relative to the forecast for the half year and the full financial year. I think if anything, what we are going to be doing is provided that nothing untoward happens between now and the end of June, we will end up in the upper quartile of the production range that we've given the market. And at this stage, we are quite some way below the bottom end of the cost range. So, that's a pleasing outcome. And that, of course, has occurred notwithstanding the higher royalties, et cetera, that I mentioned before. Now if you look at where the productions come from, I'll just quickly run through the three operations. So Yaouré was the standout again as it has been for some time, 57% of our total production. So it's the main contributor. The cost this quarter were down a bit on where they have been, and we've been the beneficiary this quarter of the fact that we did have accelerated stripping in the last couple of quarters. Now recall I mentioned on this presentation for the last couple of quarters that we were -- we did get behind in our stripping, and we had accelerated stripping in the last couple of quarters to get back on track. We are back on track, and we are now accessing high grade material. And so that's been what has caused this pretty good cost performance in the last quarter. The issue that is challenging us at the moment, if anything, at Yaouré is the fact that we've moved from or we've just opened up the Yaouré open pit. We've been mining in the CMA Open Pit up until now. So the geology in the Yaouré Pit is quite complicated, and our grade control procedures need to be modified to adjust to the new ore body. And at this stage of the game, we haven’t quite got it right. We’ve got a positive reconciliation in tonnes and negative reconciliation on grade, but overall positive on ounces. But that's something that we are working on pretty furiously at the moment to get that right because that is important for us going forward because ore from that Yaouré Open Pit is going to be blended with ore from the CMA Underground, and I'll talk about this in just a moment, but we signed off on that operation earlier this quarter. Now as far as Edikan is concerned, it was a little bit disappointing relative to the prior quarter. About 34%, 35% of our gold comes from Edikan. Right across the board, the metrics were slightly under where we had hoped they would be. But, nevertheless, the costs were still fairly good. I mean, US$1,177 per ounce at Edikan is right in the bottom end of the global cost curve. And I think full credit to the team that we've been able to keep a lid on our costs at Edikan going for over the last few years. Reconciliation there is very good, or is within market ranges, et cetera, et cetera, so we are not too concerned there. We have started mining in the Nkosuo Pit, which is a new pit that was discovered a few years ago by our team. Now this ramp up and this is partly what's attributed to the performance this quarter. Our ramp up has been a bit slower than we were hoping for as a result of some land access issues in the area. These are gradually being addressed. And not before time, I might add, given that the AG and Fetish pits are getting towards the end of their life. So we will be mining from Nkosuo in the next quarter in full steam ahead. And, hopefully, by then, we’ll have things sorted out. Now one of the points I might just make on Edikan while we are talking about, which I think is important in the context of geopolitics is that our mining licenses at -- in Ghana have been renewed. They've been signed off by the minister, and will be presented to parliament, I believe, as part of a batch in May this year to get a parliamentary ratification. So, some of the issues that have been reported in Ghana recently, I can say that most certainly don't apply to Perseus as far as our standing in the country, we are in good standing. And we have the opportunity to extend the mine life at Edikan mine. So we've been doing quite a lot of work on strategic options, and we’ll publish this data later on in the year. But, certainly, we believe that there is a an extended life at Edikan looking forward. Sissingué. Sissingué has been a little bit disappointing this period as well, and there are once again fairly solid reasons for that. All of them, the metrics have been reasonably okay other than grade, and the grade is down as a result of not accessing the higher grade material at Fimbiasso in the way that we are wanting to do. Part of that, a large part of that relates to our contractors' performance, equipment availability and productivity. We have addressed those issues by bringing in some additional equipment ourselves and hiring it back to them, And we will overcome this issue as we move forward. But, certainly, the performance this quarter was not where we would like it to be. Once again, similar sort of thing. We are getting good reconciliations across the across the site. And I think that the life of Sissingué, it can be extended quite materially through these strategic options that we've been evaluating, and we will, as I say, communicate those when all of that work has been completed. So the production is in reasonably good shape. I'm now going to hand to Lee-Anne to address some of the financial metrics. Please, Lee-Anne.
Lee-Anne de Bruin: Thanks, Jeff, and hello, everybody. Good to be on the call. You'll see from the slide in front of you that our cash flow and our overall balance has grown significantly since the last time we reported, which was $704 million. It’s now sitting in $801 million including bullion. We have zero debt and but still have our undrawn credit line of US$300 million. We continue to make contributions up to our host countries, contributing this quarter $22 million in tax. The capital expenditure for the period of $17 million points out that does include $11.4 million relating to the Nyanzaga pre-FID expenditure. And we also in the period contributed $10 million into the share buyback, which I will talk a little bit to a little bit later. If we move on to the reconciliation of our all-in-site costs to our all-in-sustaining costs, reminding the listeners that Perseus has for many years reported an all-in-site cost number, which is a pure cash number and doesn't necessarily agree with the IFRS all-in-sustaining cost. And so we've put the slide in just to explain those differences so everybody is aware. You’ll see that we have got a reconciliation because we use produced versus sold. In the period, we had inventory movements because Edikan was building up stockpiles. And then the corporate admin costs, which is included in the all-in-sustaining cost, is not included in the all-in-site cost number. Moving on to the hedging position and strategy, we have always continued to focus on downside price protection to ensure the certainty of our cash flows, particularly now that we have committed to the Nyanzaga project over the next 2 years. However, giving consideration to the robust gold environment in which we are operating, we have revised strategy from using spot deferreds and forward contracts to a Zero Cost Collar approach. And this does -- this provides us downside projection, but does allow us for upside participation. And what we’ve set out here, which I won't go into too much detail, just sets out so you can see what our hedge book looks like going forward over the next 4 years or 3 and a bit years, should I say, and how the introduction of this new strategy is giving us that upside participation. The next is the share buyback. This is our position as of the 9th of April, when we enter the blackout period. And so, we’ve executed at that period 32.78% of the buyback, which was about $32.74 million. With the release of the Nyanzaga FID and the quarterly this morning, we will likely commence participation in the share buyback again. And that's all for me from the financial side, Jeff.
Jeff Quartermaine: Okay. Thanks, Lee-Anne. Yes, the share buyback has been pretty interesting, I have to say, and I think it has actually materially benefited our shareholders the way we’ve implemented it over the last few months being able to support the market when there were unusual things going on and providing some real support at times when it was needed. I'd like to now talk about the organic growth piece. As I said, this is pretty important piece of our business and something we've given a lot of attention to in the last couple of quarters. The CMA Underground development was the first of the -- first cab off the rank, and that was we announced the FID decision, the financial final investment decision in late January. This is a an underground operation off the side of the existing CMA pit. Things are moving along very nicely on in preparation for cutting the first portals in July of this year. We've appointed Byrnecut as our contractor. They’ve mobilized on the site, and preparations are well and truly underway. And we’ve have gone ahead with the decision based on a -- an in principle approval by the Ministry of Field Mines, Petroleum and Energy in Cote d’Ivoire. We believe that this Ministerial Decree will be issued in the next week or so as all of the prerequisites for the issuing of the document have now been completed. So we are in very good shape as far as the project is concerned. Now if we look at the schedule, as I said, the Byrnecut busily on the site working in getting things organized. Equipment has been shipped and has been arriving on the site, and we are getting ready to get into the portal firings on the 1st of July. So we are well and truly on track for that. Quite a deal of work has been done to locate the various portals and the like. And some of those areas have been exposed, some of them will come into the -- in the future, but we are getting very much on the front foot as far as being able to move into that exercise on the schedule that we've set out. I've got a couple of photographs on the slide on the screen just showing a few of the site works that have been underway. We've had to, obviously expand our accommodation and an office capacity to be able to fit another large contractor and hit workforce in. We’ve also had to upgrade a few of the services, water power, et cetera, et cetera, to make sure that the underground operation will be fully serviced when we get going. So all of those things are moving forward very strongly, and we are in a very good place, I believe. We've been recruiting quite heavily over time, bringing in some very high caliber people in the underground mining space, which, as people know, is new to the Perseus business. Now the other very important project that we’ve initiated since the last webinar has been the Nyanzaga gold project in Tanzania. We took a -- an affirmative final investment decision earlier this week, and we announced to the market the position. So we are moving ahead with that project. Our budget for the exercise going forward is around $523 million, including contingencies, pre-production costs, et cetera, et cetera. So, it's pretty much in line with what we were expecting it would be as we were sort of doing the work over the last 12 months. The important thing to note on this is that the funding of this project is coming via noninterest bearing loans from Perseus to the operating company and relying on our existing cash balance of US$801 million. So we need no external financing to go forward with the project. We -- all the money is in place, and that gives us a lot of flexibility in terms of moving forward. One thing I would say is that we've had some very, very constructive engagement with the government of Tanzania over the last 12 months, clarifying terms on the existing framework agreement and the shareholders’ agreement. And I would say, well done indeed, call out Lee-Anne and her team who have been leading the charge on that, done a terrific job in being able to establish really strong relationships with the government and convert that into meaningful documentation that will govern the project going forward. And just so -- so slides to show you what we are talking about. So the -- Tanzania is on the Eastern side of the African continent, and the project, the Nyanzaga project sits on the southern shores of Lake Victoria. It’s in an area where there’s been quite a lot of mining in the past, particularly Barrick [ph] have been active in their North [indiscernible] et cetera. So these are names, bullion -- these are names that are well known, Golden Prides, and other ones, [indiscernible]. These are names that are very well known to the industry. So there is a long history of mining in the country, and the Nyanzaga project will be the first new project for about 17 odd years in Tanzania. So it’s very exciting for everybody. The site is reasonably compact. It's -- we've got allocations made for waste dumps and tailings dams, et cetera. It is relatively adjacent to Lake Victoria. So, environmental management is a very, very important piece of what we are doing going forward. Now the way we are developing this project is different to the previous owners who were envisaging a small open pit at the top and using that the proceeds from that pit to fund a drive down on higher grade material at depth and having an underground operation. What we are doing is we are going to do a single large open pit initially, and then we’ll see where we go to from there. So it’ll -- this open pit will be developed in a couple of stages. You can see on the slide the white and the blue lines being the various stages that we will embark on, and that orange line is the outline of the pit that we’ve approved. Now this is what we’re calling the first phase of the this particular project. The difference between the orange line and the pink line are inferred resources. And we what we will be doing, the inferred resources into these areas here, what we will be doing over time is drilling those out, converting them into indicated or measured, and putting them into the mine plan. And, ultimately, we would expect end up with a pit that some something aligned to that pink line, which will have a very much expanded ore or mineral resource and ore reserve reporting. The -- what we’ve done with the processing facility, it’s a larger processing facility than was previously envisaged. This is a 5 million ton nameplate plant designed by our contractors Lycopodium who we’ve worked with in the past on several of our -- of all of our, actually, operations. And, of course, Lycopodium is very well known in Africa having built just about every decent plant in the last 15, 20 years, I would think. This plant is fairly standard. There's nothing fancy in the process flow sheet. So you got SAG Mill, Ball Mill, thick in a CIL, et cetera, et cetera, and then Electrowinning. So nothing terribly fancy around this, and we believe if anything, the mine the plant will operate above nameplate as tends to be the case with these local plants. The metrics that are related to the project, I guess, the important metric is that we believe that the reserve that we are working for -- to at this particular point in time is about 2.3 million ounces, which is recently close to the previously announced reserve, which from which we will extract about 2 million ounces of gold. The production will average around 200,000 ounces over the 11-year life. I mean, it peaks out at about 2.46 at one particular point. But very importantly, the all-in-site cost, it runs at around $1,200 an ounce. And that cost is -- has been very carefully benchmarked not only against other operations in Tanzania, but also what we’ve actually done elsewhere on the continent. From an investment point of view, we have used a $1,700 pit shell for the design of the mine that use a $2,100 per ounce long-term gold price in calculating our metrics. And as you can see from the slide, the undiscounted cash flows, both pre-tax and post-tax at $2,100 are pretty interesting, but at $2,700, they’re even more interesting. And, certainly, we believe that this will be a project that will generate very, very substantial benefits for all of our stakeholders as we go forward. The production forecasts, as you can see from the slides on, as I said, averaging around the 200,000 ounce mark over the life of the project as it's currently known, but it does peak out at various times quite a bit higher than that. So it's a pretty steady production profile and one that will add materially to our overall Group profile going forward. So looking forward, we’re very confident in our ability to deliver the project as planned. I mean, Perseus, as you are aware, has successfully developed and is now operating three gold mines on the African Continent, Edikan, Sissingué, and Yaouré, and doing that fairly successfully. Now what very importantly, many of the contractors and the employees who were engaged on the [indiscernible] bill, for instance, and delivered that one ahead of schedule and under budget during the COVID crisis, they’ll also be working on Nyanzaga. So we’ve managed to bring most of the team back together, and we think that that’ll deliver some significant benefits. Now the other good thing about this project is it’s -- there’s very significant in country capacity in terms of skilled and unskilled labor and also industrial capacity. Not only that, we’ve got very strong support from our host communities and very importantly, the host government. So all of the ingredients that are needed there are there for the project to go ahead and perform very strongly in its current configuration. Now I’ve mentioned a couple of times term Phase 1. We do believe that there will be a second phase to this project. We are already embarked on a second phase of resource definition drilling, which we believe will add materially to the mineral resource and the reserve, and that will be announced in due course when all of the data comes in. It's not only resource definition drilling, might add, but we are also doing metallurgical and geotechnical drilling to further inform the design of the pits and the like. And I think there are some real opportunities potentially coming from this work to perhaps improve the cost structure going forward. Now in terms of the schedule, we've done quite a lot of work already in terms of awarding various packages and getting underway and some early works, et cetera, et cetera, and building how relocation housing. So that's going along fairly strongly, and we will be moving into full scale development works as very, very soon. In fact, we are doing it right now, and we’ll be looking to be producing first gold in the first quarter of 2027. In fact, I think I’d be very surprised if it’s not a tad earlier than that given that everybody is incentivized to deliver that outcome, but we’ll stick with the Q1 '27 for the time being. And just a couple of photographs to show you what has been happening on the site, and you can see visually that there has been a good deal of preliminary bulk earthworks underway both in terms of preparing for the main camp and the process plant. We’ve got the site pretty well lined demarked with fence line, et cetera, et cetera, and things are moving along pretty nicely on that front. The relocation housing has been an important piece of what we are doing. We've got -- we are building approximately 260 odd houses, I think it is, for people who will be impacted by our operations. And so far, we are about 23.5% of the way through that program. We have delivered or we've completed 29 houses, and I think 26 of the 29 are currently occupied by very happy residents, I might say. So that program is moving along very nicely and is being very well received by our host communities. The community consultation piece, as I said, is extremely important here. We do want to make sure that the people are kept well informed along the way, and they know exactly what we’re doing. We also want to make sure that people have the opportunity to gain employment on the mine site and to benefit from commercial activities in the region. So our community teams do spend a lot of time out and about talking to the local communities, and I think that based on our prior experience, that will be beneficial as we go forward. Also, part of that, as I said, is educating people and bringing them through into the workforce, and we've already started that process of making sure that we recruit locally to the greatest extent possible and that people are taking up the learning curve as best we can get them because they will be making a significant contribution as we go forward. I’ve mentioned the second phase of resource definition drilling, which is underway. I mean, it’s a fairly healthy program that we've got in mind, and we do have some serious expectations about what that will yield. But I think the guys have got a pretty good eye on what the ore body looks like and the work that’s being done is high-quality. And as I said, the aim is to deliver an upgraded reserve before too much longer. So that’s pretty much it as far as growth is concerned. I haven’t mentioned, of course, the other initiatives that we have. I mean, we have The Meyas Sand Project in the Sudan that we are looking at various options there to try and see how we can best add value to our shareholders through that exercise. We’ve also got a few unlisted investments around the place. And I think, actually, the value of those unlisted -- of those listed investments is something like a US$111 million. So if you're looking at the liquidity of the company, you can add US$111 million to the US$801 million of cash in bullion, and that says the Perseus is in fairly good shape to fund its way going forward. Now I’ve a couple of times, particularly in relation to Nyanzaga the importance of the sustainability piece, the ESG pieces. And right across the company, that is something that is very important to us. So, safety is a primary focus, and the safety statistics that we are generating month in, month out, I think are very, very credible in any company, let alone on the African continent. In fact, they’re as good as you’ll see globally where we've got a TRIFR of 0.74, which is well down on a lot of our other peers. The community contribution, Lee-Anne mentioned that earlier on. We continue to put quite a strong economic contribution into all of the countries wherever we operate, Ghana, Côte d’Ivoire, Tanzania. Sudan, this is not -- this takes very several forms. I mean, clearly employment is one and taxation is another, and, of course, procuring from the local vendors is very important. But fairly significant amounts of money are going into the economies of those host countries, and we think that is important. Local employment is terribly important in terms of being able to give people opportunities. And we do our best in terms of diversity in all the forms that it takes. People like to focus on gender diversity more than some of the other forms. And in that respect, we do -- we have got about 15% female employees in the workforce. But I would hasten to mention that people should read that number in the context of the cultures that we are operating in. This is not Australia. This is -- these are African countries where they have a different approach to life. And so, quite understandably the proportion of female employees is down on what you might find in a Western environment. We had no significant community events during the period, and I think that reflects the work that we put into working with our host communities. And similarly, on an environmental front, we are in pretty good shape there as well with no significant environmental issues causing concern. So, look, right across the board, things are traveling quite well. As I said at the start of the call, we have had a good quarter on all fronts, and now we've been continuing to produce gold all-in-site costs cash flow, et cetera, et cetera. And as I said, look, pleasingly, this work has been done conducted in a safe manner. We are a little ahead of our safety -- targeted safety standards, and we do compare fairly well with our peer group. So that's extremely gratifying and important to us. Now looking forward, our production and cost guidance for the 6 months to June '25 is unchanged, as I said earlier, and we are predicting very solid performances relative to that half year and full year guidance that we've given. And looking further into the future, we are embarked on our current -- we are currently embarked on our annual planning cycle. And before long, we expect to be able to publish an up -- an updated long-term production and cost forecast for the entire Perseus Group based on these revised plans. And I’ve no doubt that what this will do is provide further clear evidence that our strategy of producing between 500,000 and 600,000 ounces of gold per year at a cash margin of no less, but usually a lot more than $500 an ounce will continue for some time into the future, and that’s irrespective of any other M&A activity we’ll do into the future. Now I have been promising that Group forecast for some time, and we are in the process of putting it together. What we are trying to do is to ensure that we maximize value from our existing asset base before we go public, and we don't want to go prematurely. We want to be able to show our investing public what we are going to do and then be able to deliver on that plan, and that will be coming out fairly shortly. What we are also trying to do as part of that exercise is to smooth out our production profile going forward. And we are doing a fairly good job on that, I might say, given that when we took a decision to postpone the development of The Meyas Sand Project in 2023, it did cause a little bit of a hiccup as far as our production profile is concerned, but that's been largely addressed through Nyanzaga and the CMA Underground and the like. But there is more work to be done before we can go public. And so as soon as we can, as I say, we’ll release that information. Also, looking forward, the concept of us continuing to look to grow our diversified asset portfolio will remain very important for us, and we believe that we are able to -- by being involved in multiple operations in multiple countries, we are able to remove a lot of the volatility that comes with operating on the African continent. Importantly, this means that as an investor, you can be confident that your investment in Perseus remains in very solid and good hands. And this is an important point, I think, in terms of addressing this issue of African. Just staying on African discount on the share price, we do operate well on the African continent, and we have been doing it for quite a long time. Now it’s not a guarantee that that’s going to continue into the future, but it’s a pretty good indicator, I think, that this issue of African discount is somewhat overdone. We will, however, continue to remain very receptive to new ideas. And if the right value creation opportunities come along, then Perseus is in a great position to execute to continue on our growth journey. I might say these opportunities are fairly few and far between at the moment, but particularly given where the gold price is. But we do live in hope, and we do have the capacity to execute at a moment’s notice should the right opportunity come by. So as a company, our focus on generating material benefits for all of our stakeholders is remains probably very prominent for us. And I’m talking about host governments, communities, employees, providers of goods and services, and, of course, our investors. And we will remain very, very focused and vigilant on that and continue to deliver our stated mission of the company, and that’s something that we are very proud to have achieved today. Now in conclusion, I do once again want to acknowledge the fantastic contribution made by all of the men and women that make up the Perseus board management and operating teams in what is now five countries in which we operate where including Australia where we are headquartered. There is absolutely no doubt that as a team, our people strongly supported by their families, and I can’t emphasize the importance of the family support enough. We continue to do an outstanding job, and I want to sincerely thank you all. Many of you are listening into this call today, but I want to thank you all for that on behalf of all of our shareholders and for all of the efforts that you've been delivering and helping us to continue delivering on our promises. So thanks very much for your attention today. This brings my presentation to a close. And now Lee-Anne, Jacob, and I are happy to address any questions that you may have. Thank you.
Nathan Ryan: Thank you, Jeff. Just a reminder, if you would like to ask a question directly to the company, please use the raise hand function within Zoom. Your first question comes from Levi Spry at UBS. Please go ahead, Levi.
Levi Spry: Yes. Good morning. Thanks, Nathan. Thanks, Jeff, and team. Thanks for the call. Another nice -- very nice quarter. Couple of quick questions starting with Nyanzaga. So can you just comment on, I guess, the aims of the optimization? So, obviously, in [indiscernible] we are always pretty impatient, but some of the some of the assumptions are probably a little bit more conservative than what I’ve had previously. So can you just talk to that second phase, what the goals are with that reserve update? Is it about life extension and adding value that way, or can you squeeze a bit more grade up upfront early?
Jeff Quartermaine: Well, I think we are looking at expanding the reserve, full stop, at this particular time. Now whether we do expect that the grade will be beneficiary, but whether it -- is reflected immediately, I’m not a 100% sure. But what -- one of the optimizations or one of the areas where we may see some improved performance through there is in the actual throughput rates of the plants. Every plant that we've built in the past with the help of Lycopodium seems to outperform the nameplate. Now the nameplate of this one is 5 million ton per annum, but it wouldn't surprise me if we don’t we are not putting more material through than that actual name would suggest. But, certainly that's an issue that we -- where we believe we got some benefit. We believe that we can expand the size of the resource the open pittable resource quite significantly, and that’ll be, as I say, published within well, before we start actually producing. But the other area that is of interest to us, and I can’t say very much about this at this point other than to say that the guys brought back some pure [ph] results at depth the other day. And there’s not a lot of them, but what we saw of them certainly give us optimism that even though we are building a very large open pit, full 500 meter deep pit, there is still very significant potential for an underground operation off the bottom of that. As we go forward and as we get further down in the pit, we will be drilling further down there to confirm that, but that’s an extent -- possible extension that’s not even remotely factored into any numbers at this particular point. So, look, we believe that this the inside of the project can and will develop into a world class operation and have very little doubt about that.
Levi Spry: Yes. Good. Yes. Thank you. Thanks, Jeff. And then just moving to Sissingué, a bit of a tougher quarter there. Can you just talk to the future of that operation and any potential for maybe recycling that asset as you've got growth elsewhere in the portfolio?
Lee-Anne de Bruin: Yes. Look, the plan as it stands at the moment I mean, I think on the reserve, it’s something like about a 3-year life from now. But we believe that by reassessing some of those pits, we can actually extend the life well beyond that. Now what that involves, of course, is using a higher cutoff -- a higher gold price on the pitch shell. And, of course, what that means is that your operating cost goes up, so you need to be able to trade off production against margin, basically. And it does depend on your view on the gold price. Where we are going with the project now, though, is we are about to start opening up the Bagoé deposits. We’ve been mining at Fimbiasso and Sissingué in -- over the last couple of years, hauling ore from Fimbiasso back to Sissingué. We are now about to open up Bagoé, and we’ll be holding back from there later this year. And we will be mining down there in, I think there’s three pits down there at the present time that we have delineated. So, it's got a reasonable future. And in fact, the production levels come that are budgeted for next year are quite materially above where we are this year because the grade from Bagoé is quite attractive. Now what actually happened was that when we started mining at Fimbiasso, we discovered that, in fact, there was actually quite a lot more ore there than we had originally envisaged. Now what we decided to do was to mine out those deposits before we went to Bagoé. So we deferred opening Bagoé by about a year, basically, while we mined out Fimbiasso. Now while it’s all there, it is at a lower grade than Bagoé. So that's partly what contributed to the dip in production this year and the like as well as some operating challenges, of course, that I mentioned earlier. But, look, the Sissingué has got a pretty decent life ahead of it, pretty decent remaining resource. When we started this project, it had a 4.5-year mine life. Well, I think based on what we are talking about now, 9 years from start to finish is certainly not out of the order of possibility. And so, we will look at that in the context of our portfolio. If we bring in other assets that are producing a lot more in demand management time, then we may consider that this project might be better off in somebody’s hands. But we haven’t reached that decision point at this particular stage, but it has to be an option that we consider.
Levi Spry: Yes. Got it. Okay. Thank you. And just last one, sorry. Juggling [ph] on a few calls here, but did you mention any of the upcoming catalysts for reviewing your investment in Bankan and PDI?
Jeff Quartermaine: No. I didn’t, actually. But I think it's well-known that we've entered into a confidentiality agreement and a standstill agreement with Predictive. We can't make an investment decision until we've had full access to data and evaluated what the opportunity is worth. I would say, though, that if you look at Predictive and Bankan and compare it to, say, Nyanzaga, it's multiples more costly than what the Nyanzaga project has ever been. So, in the current environment, it looks pretty darn difficult, but you never know. The data may tell us a different story, but we don't have any plans for it at the present time. We are very comfortable to sit where we are and see what the future holds.
Levi Spry: Got it. Thank you. Appreciate your time. Thanks, Jeff.
Jeff Quartermaine: No problem.
Nathan Ryan: Thank you. Your next question comes from Richard Knights at Barrenjoey. Please go ahead, Richard.
Jeff Quartermaine: Hey, Richard. You’re on mute.
Richard Knights: Apologies. There we go. Hi, Jeff and Lee-Anne. How are you? Just one on grade reconciliation or the grade and tonnage reconciliation at CMA Open Pit. I'm just wondering how to think about that over the next 12 months. I mean, obviously, it's been positive by an order of magnitude over the last 12 months.
Jeff Quartermaine: CMA -- CMA Open Pit is fine. Where the challenge is in the Yaouré Pit, which is a new one.
Richard Knights: Right. Yes. Okay. And so what -- yes, go ahead.
Jeff Quartermaine: We've -- so the geology is really quite complicated. There are a number of structures there coming in at different angles and things like that. And just the grade control techniques that we've used aren't -- weren’t giving us as accurate a result as we are used to seeing. So we've had Jacob and his team have been working furiously on this to rectify the processes. And I think Jacob can make comment if need be on it, but we are making good progress and we expect to see improvements coming forward. So it is an important point because there is definitely mineralization, a lot of mineralization there, and we want to make sure that mineralization gets captured and put in the mill, not lower grade material.
Richard Knights: So what percentage of the feed over the next 12 months will come from that Yaouré Open Pit roughly?
Jeff Quartermaine: Look. Top of my head, I don’t have that number. But as we go forward, I did have those numbers actually. When we will be using the Yaouré Open Pit in combination with the CMA underground, I think I think something like 70% to 80% of the ore will come from the Yaouré Pit, but 50% of the grade will come from the CMA Underground. So it's something like that. I mean, those numbers are in the public domain, and I just can’t recall them exactly. But -- so getting Yaouré right is really important for us, and that's why we've put such a concentrated effort into addressing that reconciliation issue because it's not something that we are comfortable with. It's something that we have to fix in short order.
Richard Knights: No worries. Thanks. And just one more follow-up on Nyanzaga. I mean, you’ve talked about the Phase 2 potential there. Is that something we’re going to hear about in 2025, or is that sort of a longer term story?
Jeff Quartermaine: Well, look, I think it’ll take us all of '25 to do the drilling, I would say. And then some -- so it won’t be in this calendar year, I don’t expect, but next year, it will be coming through. So, look, it's just part of the ongoing process of what we do. We could've deferred development and drilled the whole thing out before we started, but we thought that taking what we've got for the time being made a lot of sense. It allowed us to get into production earlier to address the longer term production profile of the company, and that we'll backfill with additional reserves as and when they are delineated, assuming that they are, of course.
Richard Knights: No worries. Makes sense. Thanks. Thanks, guys.
Jeff Quartermaine: No problem.
Nathan Ryan: So I will now hand back to Jeff Quartermaine for closing remarks.
Jeff Quartermaine: Okay. Well, look. Thanks very much. I know we've taken a lot of time, and today is another busy day for many people, so apologies for that. But, look, we are very comfortable with the way we are tracking. I think we are generating some fairly significant benefits here for our stakeholders, returning money to shareholders both in the form of dividends and the share buyback, and we expect that that’ll continue into the future. So look forward to keeping you informed as we go forward. There’s lots on the horizon. We've had a very busy 3 months, but I think it's been a very productive 3 months, and long may that continue. So thank you very much, and look forward to talking to you again.